Marco Haeckermann: Welcome to the third quarter earnings call of CTS Eventim. My name is Marco Haeckermann, and I'm going to present the third quarter, followed by a Q&A session. So let's go. The headline for the Q3 result is very clear. We are leaving the noise of Q2 behind, and we are talking about strong signals we've seen in Q3. Ticketing has posted positive like-for-like growth in the third quarter. Adjusted EBITDA margin in the segment is up by more than 200 basis points despite ongoing integrations from See Tickets and France Billet. The development in Ticketing is backed by very strong organic margin growth in the third quarter year-over-year. Live Entertainment returned to growth in the third quarter after a muted Q2. Adjusted EBITDA margin is up by more than 100 basis points in Q3 year-over-year, and our venue operations delivered on prior year's level. We've seen a positive financial result in the third quarter of a little bit more than EUR 2 million versus a negative result of around EUR 0.5 million in Q3 last year. And putting all this together gives us enough confidence to again confirm what we've said already in August when we released the half year results that we confirm our group KPIs and ticketing with regards to the outlook for 2025. Let's look at some highlights for the first 9 months in 2025. The first impression is right, all the arrows point in the right direction and show a green color. Group revenue is up to EUR 2.1 billion, which represents growth of 6% year-over-year. Adjusted EBITDA was almost at EUR 340 million, up by almost 5%. And EBIT is above EUR 260 million, which represents growth of even more than 6%. The development of our retail tickets and the tickets outside Germany posted a tremendous growth of 29% and almost 43%, which is still positive affected by the ongoing integration and first-time consolidation of See Tickets and France Billet. And our last 12 months GTV reached almost EUR 9 billion by the end of September. Let's dig a little bit deeper into the first 9 months results. The growth in revenues of 6% was driven by both segments. Ticketing growth came in across all subsegments despite the nonrecurring Paris 2024 revenues we've seen last year. And Live Entertainment, as I've said earlier, has returned to growth after the second quarter. Adjusted EBITDA is up by almost 5% with margin levels back at prior year's level, mostly driven by very strong organic margin growth in Ticketing and Live Entertainment returning to last year's EBITDA margin level. The impact on EBIT is comparable with almost 6%, which is, of course, reported on an unadjusted basis. Looking at the results from a quarterly perspective, Q3 posted the highest revenue over the last 7 quarters. And the second -- the third quarter in Ticketing captured See Tickets for the first time on a clean like-for-like basis. Live reported positive momentum quarter-on-quarter. The adjusted EBITDA had no adjustments in 2025, while there was in the comparable period last year, an adjustment for M&A-related transaction expenses of a high single-digit million amount. As said, the margin expansion was driven by both segments, which is, of course, a very positive development compared to what we have discussed in August this year. And let's not forget, the main quarter from an earnings perspective is still to come with the fourth quarter of 2025. Bridging now from adjusted EBITDA of almost EUR 340 million to our net profit versus previous year, you see here that our adjusted EBITDA was up by EUR 15 million. And then after depreciation, the financial result, we posted earnings before taxes of EUR 260 million. It is important to highlight that the negative trend in the financial results is mostly determined by what we have discussed already with the H1 numbers as the third quarter financial result was positive, but within the first half, we had negative effects from foreign exchange, mostly U.S. dollar of roughly EUR 15 million. There was a nonrecurring dividend payment of around EUR 14 million from our autoTicket project and the lower interest income, which translated as well to roughly EUR 15 million less interest income in the first half. But this, as I said, was mostly attributable to the first half and Q3 has posted a positive financial result. Adding it all up, we end up with almost EUR 150 million of net profit attributable to CTS shareholders. Taking now a look at the segments. Ticketing revenues grew by 2%, although the organic growth was in the mid-single-digit percentages, and this effect comes from last year's third quarter having seen a high single-digit million contribution from Paris '24, which is a nonrecurring item. The third quarter growth was driven largely across all our core markets. The disproportionate development on adjusted EBITDA shows how strong the organic business has improved its profitability in the third quarter. Even without considering the nonrecurring earnings impact from Paris 2024, adjusted EBITDA has grown by 8% year-over-year in the third quarter. And even with the ongoing integrations and the still dilutive impact on adjusted EBITDA margins from the newly acquired entities, we are able to expand our profitability in the third quarter, mostly backed by very strong performances in our core markets on adjusted EBITDA profitability. Taking a look at our retail ticket volume. The retail ticket volume in the third quarter went up from 36 million to 42 million. And looking at the right side of this slide, you see that due to the ongoing integration of the international businesses, which we've acquired in See tickets and France Billet, the share of Europe is increasing based on the retail ticket volume. Taking now a look at Live Entertainment. Revenue in the third quarter grew by 5.5% despite muted development in Q2. All leading indicators as of 30th September '25 are up. With leading indicators, I'm referring to, for example, prepayments which we have received, which is -- which you can consider an order intake or a KPI for deferred revenue of our Live Entertainment segment for the next season, which is a very positive indicator for what's to come in the next year. As we've discussed in summer, we continue to have our festival portfolio under review where we expect positive impact next year. The strong EBITDA development in Q3 shows that overall, the season and the content has been very helpful to our overall development and is mostly backed by our German and Italian businesses in Live Entertainment. Our venue business, which we report in this segment as well, remains highly profitable at previous year's level. Overall, we see that the Live Entertainment segment has returned into its target margin corridor with 7% in Q3. And this concludes the presentation of our Q3 results for today. And now I hand over back to the operator to open the line for your questions. Thank you.
Operator: And we're coming to the first question, and it comes from Olivier Calvet from UBS.
Olivier Calvet: Maybe I'll take them one by one. But first, to clarify the guidance comment. On the last call, you guys were saying sort of the 5% to -- that we should take the lower end of the 5% to 15% growth at EBITDA level. It sounds like you're now pointing again to the full range. So I'm just wondering if you'd be able to narrow it down a little bit for us now with only about a month left to the year.
Marco Haeckermann: Yes. Thank you, Olivier. So as I said, we would prefer to leave the commentary unchanged versus H1, although having seen the very strong development in Live Entertainment in the third quarter, I can say that we have gained a little bit more headroom in what we've said. But for now, I would leave the guidance unchanged. But you can be sure that we as well are taking into consideration the strong return to positive momentum in Live Entertainment as well.
Olivier Calvet: Okay. Okay. And how is Ticketing developing into Q4? Any sort of color you could give here also on the 2026 artist lineup that would be helpful as well.
Marco Haeckermann: Yes. I mean while we are still in this quarter, I can't say anything about it in financial terms. But I mean, the highlights we've seen so far, I can say that the demand side is very well on track, seeing what we have put through the pipeline, whether it was big festivals. We're seeing great lineups even for festivals in the second tier. On the other side, we have had some really renowned bands going on sales so far in the fourth quarter. But it's always important to highlight, particularly for us, yes, it's always visible to look at the top act, but the majority of our tickets really come from a very, very diverse content portfolio. And all I can say is here that throughout Q4, what we have seen so far, we see unchanged momentum from artists going on tour and wherever we can make it visible that these shows are on sale, that we will activate the demand and put fans in front of the stages to have a good time with their artists.
Olivier Calvet: Okay. Okay. Then just one on the festivals business. Is there -- are there any specific festivals you've made a decision on in terms of going forward, what -- whether they will be operating in 2026 or '27? Is there any such decisions you could point to? And the second one also on -- within LE, the Milan venue ramp, if you could just shed a bit of light on that ramp, how to think about it into next year?
Marco Haeckermann: Yes. I mean with regards to the festivals, there are no particular names. And it would be a little bit unfair because I know that our Live Entertainment management is working very closely together with the promoters to plan out what's to come for the next year, looking at the infrastructure. And it is, of course, a completely wrong take to just look at the name of the festivals because there's a very complex infrastructure behind this, how you book artists, through which festivals or even other events you would want to route them. They are very busy. The team around Frithjof Pils together with the promoters to focus on the profitability. And like I said throughout the call, we are confident to see positive impact from their work on the overall portfolio already next year, but it shouldn't stop there because as we've discussed in summer, overall, in that part of the value chain, you have to cope with permanent OpEx inflation, artists asking for more money. The overall infrastructure to operate these formats is not getting cheaper. And it is always the more important to roll over these OpEx inflation onto the ticket price and to become better in selling them at the right price to make these events profitable for everyone. With regards to Milan, everything is on plan, I would say. It's, of course, difficult now to say something more particular about bookings because the venue has to open. But I think it's fair to say we are already seeing a very good demand for that venue. And when we look at nights, which a venue can be booked, which is an important KPI there, I must say that we are positively surprised by how well this new piece of valuable infrastructure for the live entertainment scene in Italy has been received so far and that's -- up to now, even where the venue is still in its final construction stages that we are coming close to a triple-digit number of bookings, which at least promoters and various content providers are asking for where they would wish to host shows in our new arena.
Olivier Calvet: Okay. And any ETA on when you would hope to start having shows there, a rough idea?
Marco Haeckermann: Yes. I mean the opening act is, of course, the Winter Olympics. And once the ice is off the stage, yes, you can put the speakers on, and host great live music shows there. Sorry, just to be clear, I'm referring to ice because the ice hockey matches will be hosted there, in case someone is listening who hasn't heard about this yet.
Operator: Next up is Ed Vyvyan from Rothschild & Co Redburn.
Edward Vyvyan: Congratulations on -- it looks like a pretty strong set of results. I have three questions. So just firstly, on Live Entertainment, your adjusted EBITDA came in well, well above consensus. So could you maybe just walk us through some of the moving parts in the quarter? I think last year, you did have a drag from U.S. Touring JV. So it would be good to understand the comp there. Ticketing, sort of a similar question. If you could walk us through what happened with organic margins when you exclude integration costs and then maybe the Paris Olympics, could you sort of quantify these effects? And then lastly, kind of moving away from the quarter, you've been making a lot of changes, it looks like internally to prepare for mobile ticketing. So when should we expect mobile ticketing to be rolled out in a more meaningful way? And could you maybe give us an idea of expected penetration rates and the margin uplift from that?
Marco Haeckermann: Thank you, Ed. So first of all, with regards to Live Entertainment and the strong development of the profitability, I mean, on the one side, we, mostly in Germany and Italy, had a very good lineup, just to name one name, Ed Sheeran, makes probably the top of that part in the third quarter with a large number of shows, which we've promoted there. On the other hand, while we were talking about festival, and this is what we've discussed already in August, and now we are seeing the positive side of it. I mean, we had some pre-incurred expenses in the second quarter for the festivals, as we said, which were now compensated by the revenues which we have generated. And as we've discussed as well, there was, for example, one festival, which we've acquired within See Tickets, Garorock, which took place last year in June and which flipped over into the third quarter, but this only had a minor impact on revenues and profitability there. But it was a profitable festival, so it's worth highlighting. On the last bit with regards to the U.S. development, not so much has changed. We are seeing now other acts coming through the pipeline there. And we just had a discussion about this. It seems like that in the U.S. as well, now moving a little bit the portfolio towards higher ages and not to the target group between 15 and 20 years, which seems to be more affected by what's going on in the economy in the U.S. and the willingness to pay high prices for tickets, while now, for example, acts like [ Brandy and Monica, ] the only one I remember, to be honest, which are selling to a little bit more older audience where the $50 notes or $100 notes are a little bit loose, more loose to pay for these tickets. And this is a development which we are curious to see of how it pans out throughout the end of Q4, but this was as well in Q3, any changes in the U.S. had a minor impact. So we were basically running where we were in Q3 last year as well. With regards to Ticketing, excluding the integration costs, we have seen very good organic margin momentum. And I must say this was particularly due to our core markets in Central Europe, including Germany as well. But here, again, it was not particularly a topic driven by top shows. But as I said earlier, we should never forget, although it's always flashy to talk about the big names, yes, we should not trick ourselves a little bit that the large part of our portfolio are not the big acts, but the acts from Tier 2, Tier 3, very independent acts, but other names that fill arenas and which gives us a much more constant flow and which helps us, of course, to leverage our customer reach in very efficient ways to help them to sell out the shows better than the year before, which is a constant task our team is working on and which then ultimately is reflected in constant operating leverage. So if we sell the same category year in and year out, you can always be sure that we become more profitable on that overall genre. Other changes with regards to mobile ticketing, I must say, as you've seen and as we've discussed throughout the first 9 months, hiring new responsibilities starting off at the very top with Karel Dorner as a CTO, and Karel having brought on stream new colleagues for products, for the overall IT infrastructure and development going forward. We are already seeing that development is gaining momentum and where we will become -- where we will be more active in rolling out these parts of the infrastructure, but it's, of course, part of a broader story. And here, with the year to come, we would expect to start reporting material increases in mobile penetration rates. But what is more important than to talk really about the capabilities of the new product generation. As you, of course, know that once you have a customer on the mobile channel, it's not only that you have a direct connection to every ticket buyer or ticket holder, but you have a communication stream on -- which gives you the chance for better cross and upsell opportunities, which, of course, given the market projections, not only in Continental Europe, but I would say, globally over the next 5 to 10 years will become a very important theme, not only to sell more tickets, but as well to increase the GTV per customer and focus on that. And therefore, mobile infrastructure is key. And this won't be a bottleneck for us to utilize the opportunities and capture the value over the next couple of years for CTS Eventim.
Operator: And next up is Annick Maas from Bernstein.
Annick Maas: So my first question is you just touched on mobile penetration. So I'd be quite keen to understand how many tickets you are selling through fanSALE today. The second one is, I don't have access to the slides, so maybe it's on the slides, but could you isolate the integration costs for Q3? And just confirm that Q3 was really the last quarter with the integration cost and in Q4, it's -- they are none left basically. And then you announced a new CFO. So the background seems not the most obvious to ticketing. So can you just maybe give us a bit more explanation on why the CFO, yes.
Marco Haeckermann: Thanks, Annick. So your first question was with regards to fanSALE, and which is a different element, I would say. I mean, rolling out the mobile infrastructure, of course, facilitates better liquidity in the aftermarket for which we can then have fanSALE coming more to fruition with its full potential. As of now, our reselling activities and always considering, of course, that our dominant markets in the EU see more and more regulation on that, but this is not a holdback for us because with being the biggest ticketing platform in Europe, we can provide this aftermarket liquidity with fanSALE, which, of course, mobile penetration is a key growth driver for and where we have already the EVENTIM.Pass product, which facilitates ticket exchanges after the initial distribution. This is becoming a very interesting topic over the next 3 to 4 years. But as of now, the revenue contribution from fanSALE is still negligible, I would say. Integration costs for the third quarter, as we said in summer, we would expect to come in somewhere in the low to mid-single-digit millions, which is on track. But in contrast to the second quarter, the very strong organic development overlapped this impact. What we've said with regards to Q4 was that we might still expect a low single-digit million effect from ongoing integration. But overall, we would expect a net impact so that the overall development will cover the last EUR 1 million or EUR 2 million of integration effects. And with looking at the Q3 development and the strong organic margin development, I must say that this is a very reassuring development because we are even beyond target here because the operating development even covered the integration cost in the third quarter, which is a very positive leading indicator for the fourth quarter. With regards to our new CFO, I mean, first off, we are looking forward to give him a very warm Eventim welcome. As per his past, I think it's very worth highlighting that he brings tremendous expertise in -- not only in M&A, but in the broader finance space from various perspectives. I think it's fair to say that with his expertise coming from Lufthansa, he knows complexity, which is something we're working on to reduce day by day. So I'm very sure that he can help us on our mission there because it's always important to highlight when we talk about our profitability levels here, forgive me, my blunt answer, but there are still too many Excel spreadsheets, which we send around with e-mails. So even behind our very strong profitability levels, there are deep pockets of efficiency gains where I'm very sure that our new colleague, which we will welcome at the beginning of next year, will help us because he probably have seen many of those cases in his former job. So ideally, he brings the protocol to bring us even forward there. So that's why we're looking forward to welcome him as of 1st of January.
Operator: The next question comes from Bernd Klanten from Barclays.
Bernd Klanten: Maybe first question on organic Ticketing growth. I guess, year-to-date, you should be in the low to mid-single-digit range. I guess without giving any specific guidance, would you expect these organic trends to broadly continue into year-end and into next year? Then second question, can you remind us of just very roughly combined revenue and cost synergy expectations for France Billet and See Tickets maybe also into next year? And any color maybe that you can share on their respective margin developments so far? And then a question somewhat related to the Milan question earlier, how much revenue and margin contribution do you expect for the Winter Olympics next year? And how should we think about the relative attribution to Ticketing and Live there?
Marco Haeckermann: Bernd, thanks for your question. So with regards to organic Ticketing growth, I would rather say that so far in the first 9 months, organic growth in Ticketing has been more like in the mid-single-digit percentages. And this is a run rate which we expect going forward into the -- throughout the fourth quarter. Overall, I must say that as we've said earlier, our midterm perspective and expectations for growth, not only for Ticketing, but for the overall live entertainment industry in Europe and even globally points towards 5% to 7% growth until 2030, 2031. And it goes without saying that our ambition is not to grow less than how the markets are growing. Revenue and cost synergies for See Tickets and France Billet, I mean we have said earlier, and this remains unchanged that overall, once the integration project is completed, that as from this combination between our legal entities and the ones which we've acquired that on both sides, we would expect cost synergies somewhere in the low double-digit millions. And with regards to Milan, given that there are contract specifics, I don't want to split out our revenue and earnings expectations for the Olympics in particular. What I think is more important for the overall project is that once the Olympics are done and we have seen the new ice hockey Olympic champion, as I've said earlier, I mean, there are many promoters waiting to put up their gear to host shows in our new arena, which will be more important for the overall profitability in the very first year, although it will still be a ramp-up year, and there will be many more interesting years to come after 2026.
Operator: And now we're coming to the next questioner. It is Lars Vom-Cleff from Deutsche Bank.
Lars Vom Cleff: Two to three quick questions remaining, if I may. I mean, doing a back-of-the-envelope calculation, gross transaction value per ticket seems to be up 9% quarter-on-quarter. So is that for me an indication that pricing is still strong and that customers are still expecting -- still accepting price hikes? Or is it rather a mix effect we're seeing?
Marco Haeckermann: So I mean, honestly, I haven't done this back-of-the-envelope math yet for the third quarter, but it points in the right direction, I can say this. What I -- what is hard for me now to strip out what is really the contribution from the newly acquired entities there, as we know that France Billet and See Tickets, they are selling at lower face values per ticket, which has, of course, an impact, which you've seen on the highlight slide that, for example, the ticket volume KPIs are significantly higher up than the revenue numbers. But given that underlying pricing has been and will continue to be a strong driver for our GTV, it points somewhere in the right direction, but don't name me on whether it's 9% or whether it's somewhere in the mid- to higher single-digit percentages.
Lars Vom Cleff: Okay. Perfect. And then thank you very much for sharing your view on synergy effects and integration costs for the French acquisitions and integrations. Just for me to be absolutely sure, this will all be gone in '26, right? We shouldn't expect any additional headwinds for '26 anymore?
Marco Haeckermann: Yes, that's the plan.
Lars Vom Cleff: Okay. Perfect. And then I think in one of the earlier calls, you or your CFO said that we should expect a low to midsized 2-digit financial result in '25, where you said that looks likely. I mean, after 9 months, you're at minus EUR 4 million. Is that still valid, low to midsized 2-digit financial results?
Marco Haeckermann: Honestly, I'm not quite sure whether he said that in particular because we have seen versus last year quite a significant drawdown in the first half due to the effect which we have named. And I think it's important now to look at Q3 as it has been posted in the -- in today's report that although this has turned positive with around -- a little bit more than EUR 2 million, but it is unrealistic to expect for the fourth quarter now an impact that will reverse what we have seen in the first half. And I'm not quite sure whether Holger has said something in that direction. But if that was your perception, I mean, my back-of-the-envelope math now with regards to financial results makes this nearly impossible, simply because the foreign exchange effects and of course, the nonrecurrence of the autoTicket dividend, for example, that's something very hard to capture.
Lars Vom Cleff: Understood. Perfect. And then a quick last one. Yesterday, I saw an article in the [indiscernible] that it will be far harder for Vienna to finance the arena in Vienna and that they seem to be struggling. Is there any news on the Vienna arena from your side? Or is it still pending and nothing to add to what you said in the past?
Marco Haeckermann: No, there's nothing to add from our side. I've seen some news flow, but this was city related, the way of -- how I saw it, but there's nothing which we could add to what we haven't said in the past.
Operator: And next up is Craig Abbott from Kepler Cheuvreux.
Craig Abbott: Yes. First of all, just real quick on Live Entertainment. Obviously, a very good quarter in Q3. But obviously, it's always been traditionally lumpy and Q4 traditionally has been a seasonally soft quarter, although the U.S. is a little bit more even out over the year. I just wondered were there any special effects in Q3 that we might see that back out in Q4, if you could at least give us like some color there? And also looking into '26, you mentioned some of the KPIs were shaping up well for '26. I mean, at this stage and given the efforts you're taking on making your festival portfolio more profitable, should we be thinking about Live Entertainment being within its target corridor profitability-wise next year? And then on Ticketing, sorry, I just -- maybe I just missed it. Could you just be a little more precise on the organic development, both for the revenue and the margin, particularly in Ticketing in Q3? Yes, those are my two questions at this stage.
Marco Haeckermann: Yes. Okay. So with regards to Live Entertainment, I can say that so far, the strong development in the third quarter, as we said, had some tail -- not really had some tailwinds. I think the only real mentionable spillover effect was this one festival, but this is not really moving the needle on whether it would have occurred in Q2 or -- well, it now occurred in Q3. It was really good lineup, as we said, mostly in Germany and Italy. I referred to at Ed Sheeran doing a tremendous number of shows, which was very helpful here. But I wouldn't really want to flag it as something particular. We are expecting the trends which we have seen so far to roll into the fourth quarter. And as I've said earlier in regards to a question related to the guidance, although we are reiterating what we've said in August, but the strong development of Live Entertainment in the third quarter gives us more confidence, but we would now prefer to take this headroom into the fourth quarter. But overall, I think to that degree, Live Entertainment has been punished in August, led by March, maybe I don't want to ask for an apology, but I think that we will be able to level that out of what Live Entertainment has been punished for in the second quarter. I hope this gives you a direction. With regards to leading indicators, 2026, yes, I mean, it's, of course, a very strong leading indicator when your deferred revenue is up by more than EUR 100 million. If you look at the balance sheet date, 30th of September, I'm referring to the prepayments received, which means the tickets that have been sold for our own Live Entertainment and the revenue which has been generated but will be recognized when shows actually take place next year. So -- and from that perspective, we have no other reasons to believe that we continue throughout 2026 operating in our target margin corridor because, as I've said earlier, that our Live Entertainment management is working very close together with the promoters to optimize the portfolio. And this will definitely be helpful to be in our target margin corridor between 6% and 8% EBITDA margin as well in 2026. And maybe if I can add with regards to next year, while we are talking about Live Entertainment, but we have other great events coming into the pipeline. And just one I would like to mention is that although it's still a couple of years out before L.A. will actually host the Olympics in 2028, but our work starts way earlier. So we are very excited about 2026 and technically can't wait to start on with that.
Craig Abbott: My other open question, and then I have one more. The open question was just again to give us a specific -- the organic development in Ticketing on revenues and margin in Q3. And then my last question is on Ticketing. I mean I know you cautioned us earlier not to focus too much on the big headline tours. But looking at the Ticketing outlook for Q4, I mean, actually, the flow of on sales these last weeks in October, November has been very, very good. I'm just a little bit surprised you're not a little bit more, say, confident on that Ticketing outlook for Q4, if there's any more color you want to add there.
Marco Haeckermann: Of course. I mean, sorry, that I skipped your first question. Organic growth in Ticketing in the third quarter was around 4.5%, which is in line with the around, yes, 6% we've seen in Q1 and around 5% we've seen in the second quarter in Ticketing. And as I said earlier, we expect to remain on that level going through Q4. And as our projections for the overall market growth show at least this kind of growth going forward for the market that this is, I would say, a threshold more like on the bottom line above which we aim operating going into the next 3 to 5 years. With regards to the Ticketing outlook and the on sales you're referring to, yes, you're right. We have seen some good names. What is more important that even behind those good names, the larger part of the portfolio is developing well and that is not only a single market, but various markets. But again, we would like to stay where we are, which if you understand, we are now in a transition of the CFO role, which for me personally, I thought it's fair just to continue maybe with some more headroom as we thought we would have at the end of August, but with more confidence. And like I said earlier, give Mr. Willms a very warm Eventim welcome when he will report the full year results by end of March.
Craig Abbott: That's very clear. Sorry, just to go back to my second question in the middle there, the organic Ticketing margin in Q3, please, and then I'm done.
Marco Haeckermann: Was in the high 40s.
Craig Abbott: So okay. Comparable with last year. Okay.
Marco Haeckermann: Yes, was up versus last year.
Operator: We have one more question in the line, and it is Christoph Blieffert from BNP Paribas Exane.
Christoph Blieffert: I have one left, please. And this one is on the German Ticketing platform, please. Over summer, you have sent around EUR 10 vouchers, most likely to incentivize fans to buy tickets and you have also granted discounts for long tail events taking place in '26. I'm just wondering how you describe the fan demand, in particular for smaller events and whether you have created some pre-buying in the third quarter? Any comments would be helpful.
Marco Haeckermann: Yes. Thanks, Christoph. I mean, first off, these are tools, marketing tools, mostly and products, which we haven't introduced now for the first time, right? So there is no change basically in what we have done. Maybe it has become a little bit more visible to you, which I would say is a positive development because it has been in the pipeline for many years and the more visible we can make to potential buyers in Germany, what we have on offer, the better basically it is for the overall content. So I would say there is no indication that we are seeing some kind of early buying or general timing effect, which was a big topic throughout the pandemic, for example. And overall, I must say, discounts and so forth, I mean, it is a very important, high-priority topic for us constantly and not only for us, I think, for the general industry to create awareness and get more eyeballs directed to where the content is because no matter which market you look at, whether it's Continental Europe and still in the U.S., the biggest problem in this industry is still that there are so many people we know who would love to attend an event, but they simply don't get the information on time. I would say even in the U.S. that when you have a group of target personas that would want to see a particular act of, say, 10 people that even with all the marketing power the market has, that only 7 to 8 are really made aware on time that this content is on offer. In Europe, I would say it's still only 5 or 6. So there is tremendous upside, which we will capture going forward while we are now scaling up and building capabilities and led by Karel Dorner, our new CTO. And just, again, while we are talking so much about back-of-the-envelope math, a EUR 10 voucher is so much below our average face value we're selling that let's assume that whatever the number was last year in the third quarter or fourth quarter of what we have sold in terms of EUR 10 vouchers versus this year, and even if that number would have gone up, in terms of revenues which we make from that voucher, it's really a very low number that would never move the dices on our Ticketing development. Then this concludes our earnings call for the 9 months' figures. Thank you very much for staying up a little bit longer and giving our friends from the West Coast a chance to join in our earnings call. And yes, wishing you all a good night, a maybe very early happy holiday season, and we look forward to seeing and hearing you again on our next earnings call, which will be hosted end of March next year. Thank you very much.